Mathias Møller: Good afternoon, everyone. Welcome to our conference call, which we host in connection with the publication of a couple of announcements yesterday and this morning regarding the annual report for '23, but also our decision to undertake a review of strategic options for the communications business. We'll run through our presentation, as always, and then switch to Q&A. The presentation is on our website. And we plan for this call to last no more than 1 hour, including the Q&A session.
 We are Soren Nielsen, President and CEO; Rene Schneider, CFO; and then the IR team represented by Peter Pudselykke and myself, Mathias Holten Moller. Over to you, Soren. 
Søren Nielsen: Thank you very much, Mathias, and welcome everybody. We will go through classical highlights and key events in the '23, speak a little more into the different business areas in the Hearing Healthcare area, speak to Communication and Rene will walk us through Group financial review and I'll take the outlook and then we'll go to Q&A.
 Financial highlights of 2023 is -- was a strong year, 14% reported growth, 12% organic and really solid and broad-based in the business, uplift of gross profit, small dilution of the gross margin, primarily driven by Communications, sell-out of gaming equipment at low pricing, uplift to EBIT -- a significant uplift to EBIT, and of course, also margin, very strong free cash flow. And with that followed a normalization of our gearing multiples and a restart of a share buyback program.
 In key events for the year, very strong growth in hearing aids, significant market share gains across many markets and channels supported by a solid market, which represent, as we concluded early in the year, a normalization of the hearing aid market after several years of volatility is something we can still confirm that that's how we look at the world. Solid performance in hearing aids -- Hearing Care and Diagnostic and especially in Diagnostic, but also Hearing Care despite weaker than expected market dynamics in China. China saw fundamentally a lot of growth, but that's due to the continued corona effects in '22. And we still say -- estimate that the market as such is below the underlying demand, and therefore, still holds an upside for further growth.
 Challenging markets in Communications, but we have reacted and sharpened the focus on enterprise solutions and wind down the Gaming business. We have, as announced yesterday night, now decided also to undertake a review of the strategic options to explore if a different owner can better realize EPOS' full potential, we believe so, but that process has now started. The divestment of the CI business to cochlear is progressing as expected and we expect closing in the first half of '24. And the bone anchored business remains with the Group for now, but also there, a pending review of our strategic options.
 Financial key takeaways for the second half; organic growth of 11% in Q4, entirely driven by Hearing Healthcare where the organic growth was 13%, 12% in Q4, again, driven by a particularly strong organic growth in hearing aids that despite of the growing comps or challenge in the comps, delivered 20% organic growth in second half and 16% in Q4 to external customers. Communications saw negative organic growth of 22% in the half year and 25% in the fourth quarter, which was below our expectations into the year, was weaker than expected. Whether that then materialize in a stronger start, It's a little difficult to judge, but the actual very last weeks did not live up to expectations.
 Organic growth in OpEx, capacity cost was 4%, reflecting a higher growth in Hearing Healthcare, so continued investments in that part of the business. On the other hand, the savings effects of the adjustments to the organization announced earlier in the year, came in clear as savings in the second half in Communications. So EBIT of DKK 2.134 billion, an increase of 32% and margin expansion of 3 percentage points, driven by material operating leverage in Hearing Healthcare.
 Outlook for '24, continued growth, organic growth -- revenue growth of 4% to 8% for now only the Hearing Healthcare business as the Communications business is under discontinued business and an EBIT of DKK 4.6 billion to DKK 5 billion. Sustainability achievements in the year, the most important ones as the business have grown, we have helped more people hear better. And that now equivalent to 13.3 million people, that 1 million ears that we have added in the year, and we have seen a 15% reduction in our Scope 1 and 2 compared to '22. And we have seen an increasing number of women in our top management level and a better balance and a good step forward towards our journey of achieving at least 30% in '25. We are now at 27%.
 A few more details on Hearing Healthcare. As I said, strong organic growth of 11% in the second half, driven by hearing aids. Gross margin increased slightly, supported by higher ASP, which came from geography mix changes and a continued strong performance in the premium hearing aid channel, channels that have a tendency to sell more premium products and a good product mix. This all in all have further lifted our ASP, whereas the unit growth have, you would say, been more modest.
 EBIT is DKK 2.343 billion and an EBIT margin of 21.5%, an increase of 3.5 percentage points compared to second half '22. And again, it is primarily hearing aids that delivered operational leverage, but also increased profitability in Hearing Care is part of this uplift. The hearing aid market in '23 is normalized, as we say. Meaning that if you look at the table to the right, you can see the CAGR versus 2019. So this is the average growth rate per year if you use '19 as a baseline. And you can see that the first 3 quarters have then come in consistently around 5%. In reality, you could say, for Q4 to the lower end of our normal expectation of 4% to 6%, but still in line with that and it takes a little to move that. And that is despite of a U.S. commercial growing 19%, which is of course, very significant, but only related back to the weak performance in the U.S. market towards the end of last year, driven by financial uncertainty and with that postponement of sales, but you can see how quickly it picks up.
 So global growth of 8% in second half, driven by primarily U.S. commercial. And we again see markets normalized. In Europe, we have seen a slightly negative growth in NHS after otherwise a strong year. This is -- remember, this is not measured at a number of people being fitted. This is measured as shipment into storage. So there's always quarterly differences. So don't put too much into that. But we have also seen -- and there's positive growth in Germany after basically a year that was either flattish or slightly negative. So also better growth there.
 France, growth was slightly positive and we have seen signs of stabilization. And we basically believe what we have confirmed earlier that we are most likely around the new kind of run rate from which the French market is expected to grow. North America, as expected, strong growth, again due to low comps, some of the same in Canada that have also grown well. Of course, a very strong growth in China as second half, especially with significantly negatively impacted by close downs or lockdowns, especially where we operate out of Shanghai. So we were maybe more impacted than others, but also the market in general, of course, have had a significant uplift. 
 And we still believe that it's below expectations. There is still room for more growth in China when the financial uncertainty there also reduces. Again, the market is a little more volatile to those things, less maturity. And therefore, you would typically see such effects maybe be a little longer to recover from than you have otherwise seen in Europe and North America, also very limited reimbursement, et cetera. In Australia, growth was slightly negative and the same for the export market. The export market is always dependent on tenders, et cetera. So also don't put too much into that.
 Then hearing aids in fourth quarter, growth continued at high level, but some deceleration exactly due to comps and annualization of significant uptake to a large U.S. customer. But we have also seen a lower growth with certain other large accounts, and this has somehow -- somewhat impacted unit growth. But on the other hand, maybe not the most profitable part of our business and part of the reason for our growing ASP and strong overall growth despite of that. So primarily ASP effects in fourth quarter, driven by positive mix effects, meaning we gained share and channels with a good product mix, good ASP, et cetera.
 In Europe, strong growth in France, well above the market growth rate, solid growth in Germany and basically good performance in most other markets in Europe. North America, strong development in VA have continued and the sales in U.S. have generally been supported by good market growth. Very strong growth in Canada, very strong growth in China, but that's normal, that's expected, that's the normalization and also a strong growth in Australia.
 And then maybe one of the key highlights from yesterday's announcement and here in more details, here in February '24, we initiated a global launch of a new line of flagship products from all our brands. And most importantly, for Oticon, Oticon Intent is being released more or less as we speak and will hit customers during the last part of the month. And this is another very important platform release that follows the line basically all the way back to Oticon Opn, where we started this new paradigm around being able to hear much more, access to more sounds. And with Oticon More and Oticon Real adding a deep neural network that has been trained to better recognize where things are and in a very fast and dynamic way being able to react to changes in the surroundings and represent a more balanced sound picture to people in complicated listening situations.
 And what is it then that Oticon Intent do further? It is a complete new platform, basically end-to-end, new mechanical smaller housing, new intelligent speaker units where there is actually data provided to the hearing aid what speaker it is and model, et cetera. So much better -- much easier for the dispenser to make sure fittings are done correctly. We have a second version of our neural network that had been further enhanced and expanded to do an even better job in the most difficult listening situations.
 In addition to that, we have built in a motion sensor that detects both head movements and body movements. And these detections in combination with further acoustical sensors and all the data, we already provided the neural network, we can take even stronger decisions and is the first hearing aid that really is in power to have a better understanding, what is actually the intention of what I want to listen to. This is not a very mechanical if head movement is like that do this. This is, again, the neural network that receives these data and based on that make very fast and intuitive decisions on how to rebalance the sound picture and make sure voices stand out clear, while more disturbing sounds are suppressed, but not to a level they cannot be heard. And this has shown to give a very, very good feedback from users.
 We have both seen a significant step-up in the performance without enabling the sensor technology simply coming from the improved deep neural network as well as the general improvement of the whole platform. But adding in the sensor technology, we see a very, very strong uplift in performance and it simply helps the user navigate better through -- unconsciously navigate better through a difficult listening situation depending on your intentions, whether you are trying to listen into a single use or whether you are keeping a vivid conversation with many or whether you're just passing by people on the go and don't see things as other than noise.
 We have also worked on the rechargeability system, basically expanded the capacity in the hearing aid, changed to another charging technology. This is now with contact charging, which makes it possible to charge much faster. So in the case you don't have for a full day which you are more likely to have with the new battery, then you can in just 10 minutes add 4 hours of use. And we have users that, for instance, listen to a lot of books and others and actually stream a very high number of the day should they need an extra boost is very easy and fast to do so.
 We have also enabled Bluetooth Low Energy Audio in the new technology, meaning we are future-proof as this technology becomes broadly available in phones. If you have a BLE out your phone today, it will be able to stream directly to and from the hearing aid. These protocols ensure a higher standard quality of sound, better stability, and we have no doubt that this is the future for connectivity. In addition to this, we have also made a number of improvements to the Azure protocol as well as the [ Abel ] protocol that, in general, should improve the overall experience of our connectivity solution.
 So all in all, a very strong new platform. It comes out, as I said, across all brands, including Philips and Bernafon. They will launch also during the first quarter, but we will start with Oticon. Bernafon is followed by a basically new brand position and a new visual universe to really reignite this brand that we believe holds a lot of potential for further growth. It is launched in a rechargeable minibite for all 3 brands across 4 price points. So this is really addressing the majority of the modern hearing aid market and would clearly set a new standard for the performance you can expect. We will, as things are also this time highly mechanical-based, roll this out gradually over the coming months, but starting here in February this year.
 Hearing Care in Q4, solid business momentum supported by meaningful acquisitions. We have basically seen solid performance. The growth in France was slightly negative, but not much, so very close to the market. Solid growth in most other European markets. Solid growth in U.S. following our increased focus on private pay market as well as the store location optimization that we undertook. We have seen both growth, but also even more importantly, uplift to the profitability of our North American business. Positive growth in Canada, very strong growth in China, of course, again driven by low comps. And even though the market is below expectation, I just had a tour in China beginning of the year. And I must say, I'm sure we have acquired a very, very strong asset and I see a lot of expansion opportunities in China for our business there. Strong growth as well in Australia.
 In Diagnostic, Q4, solid performance, also despite of still restrictions in the China selling to hospitals where access is limited due to all these investigations for business ethics that have been taking place there, not against us, but against the hospitals themselves. And this has dampened the market for a lot of medtech equipment significantly. We estimate normal growth in the quarter and saw 8% organic growth from our side. So clearly, a step forward. In Europe, in particular, U.K. and Italy, have grown a little bit. Negative in Poland, but that is due to very high comps. Strong performance in U.S. and Canada as well as Asia Pac to the comps last year.
 And then to Communications. Communications second half, negative organic growth of 22% and again 25% in Q4. The gross margin significantly decreased due to the sell-out of gaming equipment at very low pricing. And this is of course part of the increased losses as earlier mentioned and guided for. So a decrease in EBIT of DKK 81 million compared to DKK 22 million. But because despite of the cost savings offset by declining gross profit, the winding down gaming had a negative one-off effect of EBIT around DKK 16 million. And if we zoom in on Q4, both segments remained challenged, but we have now, I would say, more or less cleaned the gaming inventory, at least for the things that had a slow movement. So we feel comfortable that that's now done and dealt with in '23.
 The organic growth for the enterprise was negative of 18%, which is of course not where we hoped for and we still don't see a significant turn in the market. However, the collaboration with Lenovo has been started and show a positive impact, but still limited, but we are very positive on further development in '24. And then the announcement of the decision to undertake review of strategic options. This is a process to identify a potential stronger owner of EPOS, an owner that can add more to the growth plans than Demant can because we are in Hearing Healthcare and others might be in businesses that associate stronger. With EPOS, time will show. But we are, as of yesterday, full on with this process and do it with urgency. So we don't have too much uncertainty for too long and expect to be able to complete the process by the end of the first half.
 And yes, that's it for me now. I think over to you, Rene. 
René Schneider: Yes. Thanks, Soren. So I think the income statement by segment, we already covered that. But just again, highlighting the 32% growth in EBIT that we had in the second half year, where you clearly see that the strong operating margin in second half year for the Group of 18.9% is driven by our Hearing Healthcare performance now at 21.5% EBIT margin. But if we look a little bit more on the details, on the gross profit in second half year, grew by 10% to almost DKK 4 billion. We did, however, see an overall decrease in the gross margin entirely due to the significant decline in the gross margin in Communications. That again, was driven by the wind down in particular of Gaming. If we look at the Hearing Healthcare gross margin, it improved slightly. And overall, due to the business mix for the Group, we ended up just shy of last year.
 When it comes to operating expenses, we saw the overall organic growth for the Group in second half year of 3%, 4% from acquisitions and minus 3% from FX. The 3% organic was in particular driven by our Hearing Healthcare business with 5% organic growth from our investments in both R&D and also distribution. This was offset by the well-known cost reductions in Communications that declined by 20%.
 EBIT and EBIT margin, again here, EBIT of just above DKK 2 billion in second half year, a growth of 32% with a positive contribution from Hearing Healthcare and a negative contribution of DKK 210 million from Communications with a slight positive impact in the second half year from exchange rates, offsetting the negative impact we had in the first half year. The EBIT margin increase of 18.9% was an increase of 3 percentage points, again, driven by the Hearing Healthcare business. Communications, again, negatively impacted by the challenging market conditions as well as the wind down of Gaming, which we explicitly estimate have impacted around DKK 60 million negatively in second half year.
 Bringing us further on to our cash flow statement, it has been an extremely strong year on the cash flow side. And we have seen a 45% increase in cash flow from operations in the second half year, up to almost DKK 2.5 billion. We've seen CapEx fairly stable of 4% of sales, which is perfectly in line with our medium to long-term expectations. And we have seen net cash to acquisitions and divestments of DKK 622 million in second half year, primarily related to acquisitions for Hearing Care in Germany. This number is slightly below our original expectations as timing of some transactions have been postponed into '24. We also meant to do share buybacks of DKK 829 million.
 Balance sheet, overall, very stable. 2% growth, underlying 5% growth from acquisitions, whereas the organic growth was flat, negative effect from exchange rates of 1% and then an additional negative 2 percentage point on the balance sheet from our write-down of assets held-for-sale, more specifically, the assets held for the CI business. So all in all, the increase that we do see in assets is related to goodwill and acquisitions.
 For the net working capital, it in the second half year declined by 5%. And this is part of the strong cash flow drivers. For the full year, it is a flat development. So overall, a very strong contribution also from that to our cash flow. And this means that we ended the year well within our leverage guidance ratio at 2.2 and within our medium to long-term expectations also.
 Outlook. Soren? 
Søren Nielsen: Yes. Thank you, Rene. Well, the outlook assumption is a continued normal. Hearing aid markets in line with our historical believe of 4% to 6% or the classical 4% to 6% unit growth and a negative impact from ASP coming from various mix effects of 1% to 2%. We will expect to see a higher than normal bolt-on acquisition level, as Rene just said, due to primarily postponement from '23, but also because we still see a good pipeline of attractive opportunities and discontinued operation.
 We expect the profit after-tax related to Communications to be negative of DKK 100 million to DKK 150 million. This is entirely a full year operating loss and does not include any financing impacts related to the review of strategic options. The divestment of cochlear implant business, as I said, is expected to close here in the first half. Bone anchored business will remain with the Group as part of the expectations. And for the full year, '24, we expect a profit after-tax for hearing implants to be around 0, which represents continuous losses as long as we own the CI business, but during the entire period, a profitable bone anchored business.
 And based on these assumptions, the outlook for the year, organic growth of 4% to 8%. And again, this only covers Hearing Healthcare due to the reclassification of the Communications business and an EBIT of DKK 4.6 billion to DKK 5 billion and a share buyback of more than DKK 2 billion. As always, this depends on, of course, the cash flow from operation or the cash flow in general and acquisitions and then remaining in excess of cash is redistributed back to shareholders through our share buyback program. We expect an acquisitive growth of around 1% and minus 1% on FX as things look today and an effective tax rate around 4%. And again, the discontinued business, 0, from the implant and DKK 100 million to DKK 150 million from Communications.
 And before we open up for Q&A, just a kind reminder to our Capital Markets Day in March, on March 12 here at the Demant headquarter. 
Operator: [Operator Instructions] Our first question comes from Hassan Al-Wakeel with Barclays. 
Hassan Al-Wakeel: I have 2, please. Firstly, on your new platform. I guess, the question is why now? And does this represent a new normal in terms of product life cycle? And how will you price this? And then taking a step back, competitive intensity is clearly stepping up. Sonova is talking about selective discounting. Product cycles look to be getting shorter, evidenced by yourselves in GN. Do you worry this step-up drives margin pressure for the industry medium-term?
 And then secondly, on guidance. Can you talk about Hearing Healthcare margin expectations for 2024? And why you're only targeting flat margins in a launch year, where the market backdrop from a growth perspective looks to be more favorable? 
Søren Nielsen: Thank you for your questions. On the new platform, I actually think this is very much in line what you have seen in the past. If you go back to, as I tried to illustrate Oticon Opn in '16, we do a major platform launch again with Oticon More in '20 and now 4 years later. So the underlying cycle is in reality still totally a 4 year cycle for major platform releases. Then in between, and timing can be a little different from cycle-to-cycle, you would typically see an upgrade, which is more, let's say, a software feature-oriented than actual mechanical platform. And Opn was coming around 3 years after Opn and so was Oticon Real. So in reality, I don't see this as a change in the cycle. This is in reality very consistent with the past. And so that's why that's now. This is what we are going to build on in the coming years, and important of course, accomplishment and step-up.
 And that of course then leads into the second question, when you talk about selected discounts and so on. These things of course always varies a little bit with your -- the same momentum in the market, whether you are able to sell through to the right channels and achieve the right growth and mix without being too aggressive on the pricing side. So I think maybe that's also a little bit of reflection on the individual players' positioning.
 I think we highlighted that or I mentioned that we have in the second half not seen the strongest performance with some of the more volume-driven players, and that is exactly due to some discussion on pricing. And that's then what we have been able to do and what we have prioritized and we still believe innovation is key for growth, key for driving benefit for the user and with that also a good mix, product mix, channel mix, et cetera and with that a strong ASP development. So no, I don't see this as a structural change or something you should discount into the future. It is of course an intense competition. It has always been. So I find it in line with also past. Modern technology just cost more and more, but that's also been the case in the past many, many years. And I'm sure everybody feel a certain pressure on their R&D, you could say, capacity and their ability to drive innovation forward.
 And on the, you could say, implied flat margin, yes, we expect to grow. Yes, we expect to see good sales, but there is also an element that we went into '23 with a little bit, the hand break on expansion and the build-up of capacity cost. You could see that the organic growth was very low compared to the top-line growth, and that's also been the case in the hearing aid business. And then as we go through the second half, we have released some of these holding back on open positions and so on. And that means that, yes, we will also see the capacity cost to grow at slightly higher rates in '24 than we saw in '23, and therefore, balancing the margin a little bit out. I find that natural after a very solid and significant growth year like we saw in '23. 
Hassan Al-Wakeel: That's really helpful, Soren. If I can just maybe follow-up on the guidance point. How are you thinking about the phasing of growth across the year? Is it fair to assume a bit more of a back-end loaded growth year given comps? And what about margins? 
Søren Nielsen: Yes. I think on the growth side, yes, we had a very, very strong first quarter last year. And as this will be a little more phased introduction, your assumption is absolutely right. But on the margin, we don't guide like that. 
René Schneider: But I think in terms of phasing of the profitability, we see '24 as relatively normal when it comes to split between first half year and second half year, meaning that more profit in second half year, slightly higher margin in second half year is normal, I would say. 
Operator: Our next question comes from Maja Stephanie Pataki with Kepler Cheuvreux. 
Maja Pataki: Soren, I'll just start with Q4 following up on Hassan's question. You highlighted that growth in Q4 was primarily driven by ASP impact, which would imply that you've been losing share on a unit growth perspective versus the 8 percentage points that you have highlighted as market unit growth. I was wondering if you could give us a bit more granularity on what it means when you say like some large accounts, there have been -- competition has been more aggressive on pricing? And is that something that is the reason why your lower end of the growth stands at 4%, which in a year where you have a product launch means that at least you should have flat to slight positive ASPs? So that seems to be really conservative. I'm just trying to understand the dynamics and how concerned you are that your prime times for a short period of time might be over?
 And then the second question relates to market growth in Q4. We've seen very strong performance in the U.S. We've seen good performance in rest of the world, but Europe remains sluggish. Is there anything structural that you would highlight or is it just phasing? 
Søren Nielsen: You always try to play your cards the smartest possible way and optimize in the situation. And I think we have played our cards well in value. I have no doubt we continue to take share in the market. And yes, you could come to the conclusion that the units is down this year. This hearing aid market has very, very big differences across channels and different product categories in pricing. And yes, we have been a bit more focused on ensuring proper return on our investments in innovation and commitment and support to customers. And then when you do that, then sometimes you lose a little bit on the volume side. But I think we are in full control of the situation.
 So no, I wouldn't correlate that down to the 4%. I think we are early into the year. We see our competitors also being quite active on product launches and the competition is high. So the 4% represents well, competition doing well. And still, we don't know how the market is actually is going to be. So it's all the classical factors in. You could equally say that the other side of the equation, the 8% represents a quite significant gains of market share. So this is just ahead of a launch and before we really see how things come in. We think this is a fair reflection of the uncertainty for a complete year. 
Maja Pataki: Soren, if I may just quickly follow-up on your statements here. I understand that you don't want to give us a number on where your unit growth was. But could you just give us maybe some indication whether that was specific to 1 or 2 markets? And whether you feel that you've been significantly below market just to sense the confidence on your 8% growth guidance? 
Søren Nielsen: But you know we also stated, for instance, that NHS was down and export was weak. So all of a sudden, 1 or 2 large tenders or 1 or 2 big rounds of purchase for a stock of very low-priced instrument, then our unit growth go down and ASP go up. This has -- in shorter intervals, they can have quite big fluctuations. If you look at the second half in total, things are still relatively well balanced. 
Maja Pataki: Okay. I'll give up here. 
Søren Nielsen: Then EU or Europe, you asked for. It's also the volatility in second half last year, '22, which was stronger in U.S. back to a much lesser share of reimbursement and much more private pay. So we also didn't see as -- I think we commented on that earlier, we saw a very, very fast decline in U.S. in the market or low growth rates and similarly a very strong rebound. I think Europe is still -- it was not hit as hard. And then, of course, France, NHS, as mentioned, we see this in Europe as also, generally speaking, normalized, I would say. This is still minor fluctuations. There are some of the European countries where the baby boomer phenomenon, i.e., in Germany is also a little smaller than it is, for instance, in U.S. So there's also some structural things. So no, don't put too much into it. 
Operator: Our next question comes from Martin Brenoe with Nordea. 
Martin Brenoe: Congrats with the results here. There are quite a few interesting things to dive into. But I think that one thing that I would like to maybe get some further color on is, it's just been a year goes into launch, the Oticon Real, and that was a really strong launch. And I guess that you have also sequentially rolled out some products. So just wanted to hear how you avoid having unwarranted interference in the launch rhythm as it -- I guess, it could add some complexity to have launches so close to each other? That would be sort of my first question here. 
Søren Nielsen: Yes. Martin, I would almost repeat my answer before that this is not very different than what we have done before. And I think in general, again, we address all price points. This is the #1 category of products in the world, a rechargeable miniRITE. Most hearing care professionals, they want to offer the latest and greatest to their users and patients in the assumption that that's the best way to make them keep their product or keep the decision to buy. And therefore, there is nothing called too soon a product release in my book. It's always good to bring news to the market and it's appreciated by our customers. And I'm sure we'll also benefit the launch this year. We, of course, up against tough comps, Oticon Real did a really good job and the similar products from Philips and Bernafon. So here in the first quarter, we'll see how fast we manage to get out of the gate. But during the year, I'm sure this will be part of driving growth for the business. 
Martin Brenoe: Okay. That's very clear. And just shifting gear for a moment here, Rene. In terms of M&A, you expect this acquisition to be above normalized level here in 2024, at least on a cash basis, but you only really guide for 1% acquired growth for 2024. So can you help me bridge that a little bit? Is that to be understood as a very back-end loaded M&A or is there any different kind of acquisitions going on? 
René Schneider: It's because we don't know the timing and the exact nature of those acquisitions yet. So our principle is that we guide on what we know today. And then as you allude to yourself, it makes a ton of a difference whether you do the acquisition in January or in December, not from a cash out perspective, but from a contribution to revenue. And that is why we don't guide on, you can say, unknown or unexecuted acquisitions. That's the principle that we have. And in terms of the cash out for acquisitions, when we say it's above normal, if we say normal, it would be DKK 600 million to DKK 800 million. We could approach something that would be the double of that. 
Martin Brenoe: Okay. And if you were not to guide, but to just give some helpful comments, what's the potential high end of the acquired growth that you could get in case that it's -- that the acquisitions are coming sooner rather than later? 
René Schneider: I will not guide on that. You can just look back historically and we have seen acquisitive growth for Demant in the range of 1% to 3% per year when we have finished the year. And we'll not get above that, I'm pretty confident, but it's not a guidance. 
Operator: Our next question comes from Veronika Dubajova, Citi. 
Veronika Dubajova: I have 3, please. One is just would like to understand, Soren, a little bit your comments on the large customer softness in the fourth quarter. If you can help us think through how much of an impact that was? And also which region that was concentrated in and just shed a little bit of light on that, that would be helpful?
 My second question is the clarification on the guidance. What you guys are specifically assuming with regards to Costco and the probability that Sonova are able to return at some point in time in the future?
 And then my third question is, obviously, you've chosen to launch a rechargeable-only barring what we've seen from Sonova. Is this a concern in any shape or form in your mind as far as the sort of initial impact of the launch might be concerned? Clearly, you're narrowing the potential addressable patient population. And should we expect rechargeable-only for the other form factors or is this your specific choice for miniRITE only at this point in time? 
Søren Nielsen: Yes. Thank you very much for your questions. I cannot bring a much more flavor. It's not that things have totally dropped out. I just tried to give some flavor and where is it we gain and where is it we gain less. And yes, we have seen sales to independent. Yes, we have seen our premium sales across channels. Yes, we have seen geographies with good product mix, and therefore, good ASP grow faster than all the reverse. So this is just to balance a little bit where is growth coming from and where is it not coming from. It is not in special geographies. It is operators that operate in multiple countries, and therefore, relatively widespread.
 On the Costco, I have no assumption on who is in or out of Costco except our assumption is we are in. And we'll continue, hopefully, to manage to satisfy Costco to an extent that we are one of their preferred partners. What we do have an assumption about is that the main difference is not exactly who is in or who is out. It is that Kirkland Signature is not on the table and we resume to assume that Kirkland Signature is not going to happen. And I think that's important because there is a big difference whether you have one operator that holds Kirkland Signature and through that offer better pricing than the rest. If that is not on the table, it is more of a, I would say, open competition. And our assumption is that's what's going on. It's also the assumption that it's 3 players. Of course, yes, would go down if it was all of a sudden fall. And I would say, that's our assumption on that account.
 Then on rechargeability, if you fundamentally think about being hearing impaired, then I think after a little bit of training, also if you have had a non-rechargeable before, there's no users that would not fundamentally prefer rechargeable hearing aids. It's much more convenient to operate. It's -- you don't have to remember to change batteries. And it really is, I would say, the new norm. The main areas where it could be still a concern is in channels where all focus is on price. A non-rechargeable system is still less expensive than a rechargeable. So that's an example. So I think we will see the share of rechargeability going forward grow further. And technology always ends up maturing. So we'll also be able to be competitive over time at lower price points.
 So I don't find it unnatural for right instruments. In the world, vast majority are rechargeable. The disposable batteries more correlates to typically more classical BTEs, typically more high-powered products where rechargeability might not be an option because there's simply still not enough capacity for a full day use and things like that or it could be sized in the very, very small ITEs, in-the-ear, products where you cannot accommodate for rechargeable batteries. Otherwise, I think the natural trend is more and more rechargeability, at least that's what we see in the market and experience from customers. So in the future, yes, we'll see far more solutions with a rechargeable battery than a non-rechargeable battery. 
Veronika Dubajova: That's very clear. And can I just maybe ask -- and you might say no to this, but I'm just curious. What is your mix if you look at your business today, rechargeable versus non-rechargeable? And where do you think it might head to over time if this is indeed the direction that the market is moving to? 
Søren Nielsen: Yes. Without saying too much, it's fairly balanced still, but that is very, very different from channels to channels. You have most of these international or these export tenders, they are still primarily non-rechargeable. NHS continue to focus on disposable batteries. And then you have the data from VA, you see how strong rechargeable rigs are. So you have all the examples in the mix. And we are very balanced, I would say, across the world there. 
Operator: Our next question comes from Christian Ryom with Danske Bank. 
Christian Ryom: I have 2 as well. I think both of them for you, Rene. So first one is whether you can help us with some pointers on how to think about the gross margin outlook for 2024? And specifically, whether we should anticipate further gross margin pressure from an increased share of rechargeables following on from the comments that Soren just made to Veronika?
 And the second question is on the cash flow side. You obviously had very strong cash flow here in the second half. How should we think about current levels for working capital and CapEx as we look into the next year? 
René Schneider: So on the gross margin outlook, we do believe in a small uptick in that for '24. And sort of fundamentally, we believe our sort of Hearing Healthcare business is 76% to 77% gross margin business. And obviously, depending on, you can say, where do we end out in terms of growth, because the drivers of the gross margin is multi-faceted, as you well know. You have some things that count against, which is increased technology in the hearing aids, share of rechargeability, to some extent, material costs. And of course, we counter that through, you can say, pricing and pricing for innovation, scalability in operations. So meaning the more we grow, the more effective we can manufacture. And that's basically all in all -- given all these components, what we assume for '24 is an uptick in the gross margin from where we have seen '23.
 When it comes to cash flow, yes, as I mentioned during the walk, during the presentation, we have seen net working capital being -- development being flat for the full year. That is not normal in a growing business. So we have a little bit of extraordinary tailwind from that in '23 that we don't as such expect for '24. But I would say, net working capital on a broad scale is normal at this stage. So also no reversal or anything. 
Operator: Our next question comes from Oliver Metzger ODDO BHF. 
Oliver Metzger: The first one is about China. So can you give us more color about the Chinese market in Hearing Care? There are some effects, you mentioned also weaker comps, but you also mentioned China below expectations and potential. So what's going on in your view? And when do we expect the turn to be better from an underlying perspective? My second question is -- that's a very quick one on the new platform launch. You have made some comment about the 4 price points. But regarding the launch pattern, do you plan to launch first on the premium and lower price points at a later point of time or all at one directly? And the last one is on the whole repurchase cycle. Now basically after 1 year of all the turbulences, do you observed a reversion to the previous levels or has just the period lengthened 1 year ago and now basically it has remained more or less stable? That's for me. 
Søren Nielsen: Yes. On China, we don't have any statistics and so on. So it's a fair judgment. We hear from our Chinese organization that in line with a number of other product categories, people are a little more hesitant to spend and a little more focused on savings and, I would say, normal caution. And how long that's going to last? I don't know. It is also, again, if you do this extrapolations back from '19 and you expect a higher than normal growth rates, then you come to this conclusion that the market should be bigger. So I cannot say when we think things will normalize. On the Diagnostics side, we do see some improvements. But also there, it's difficult to predict exactly when things are completely normalized.
 On the new platform, 4 price points, similar to as when we launched 3 price points, yes, it's all going to go out now. In general, that's easier and a benefit. I think all have the same aligned motivation to try to sell up and sell the best products in the portfolio. So that's how we normally do things. Repurchase, yes, we have seen that's why the market has been stronger this year. We have seen people that extended the renewal cycle in '22 similar, now do something, and we don't expect any fundamental change to renewal cycles unless it in some countries would happen due to change in reimbursement. We have seen that in Germany. That is part of why Germany have developed slower than some of the [ SIC Funds ] have said, no, no, you will need to continue to repair it and not a fixed time span before you can get a new one. So that's -- but there's no changes to the outlook. 
Operator: Our next question comes from Niels Granholm-Leth with Carnegie. 
Niels Granholm-Leth: 2 questions. First one, Rene, can you talk about your expectations for net financial expenses in 2024? Secondly, which assumptions have you made for wage inflation in Poland and in Mexico? 
René Schneider: Yes. So on the net financials for '24, we expect them to be slightly more negative than they were in '23 given that we annualize some of our refinancing for the full year, and that's what basically drives it. We don't factor in any changes in the interest rates obviously. When it comes to wage inflation in Poland, it is double-digit, low-double-digit growth sort of across the different types of personnel that we have there. So that is material in itself. But just a broad, I should say, caution is that it is still the minority of what a hearing aid cost to manufacturer is the labor part. And it is I believe similar in Mexico. 
Mathias Møller: Okay. I'm not sure if we lost our operator here, but we also are running out of time. So I think actually, it makes sense. I know there was still a few people left in the queue, but please reach out directly with any questions. Otherwise, that's it for today. So thanks for joining us.
 One last point, as Soren mentioned, the CMD. It will be hosted here at our headquarters, 12th of March. It will be an in-person event, but obviously, a live stream available too. But we hope to see as many of you as possible in-person would be really nice. Yes, thanks very much for joining us. We look forward to seeing you on the road. Have a good day.